Joyce Brooks: Good morning. This is Joyce Brooks, Vice President of Investor Relations. Thank you for joining today's call for a discussion of McCormick's second quarter financial results and our current outlook for 2015. We started a bit early to coordinate with the General Mills’ call at 8:30 AM. To accompany our call, we posted a set of slides at ir.mccormick.com. At this time, all participants are in a listen-only mode. A question-and-answer session will follow our remarks. [Operator Instructions] As a reminder, the conference is being recorded. With me this morning are Alan Wilson, Chairman and CEO; Lawrence Kurzius, Chief Operating Officer and President; Gordon Stetz, Executive Vice President and CFO and Mike Smith, Senior Vice President Corporate Finance. During our remarks, we will refer to non-GAAP financial measures. These include adjusted operating income and adjusted earnings per share that exclude the impact of special charges as well as information in constant currency. A reconciliation to the GAAP results is included in this morning's press release and slides. As a reminder, today's presentation contains projections and other forward-looking statements. Actual results could differ materially from those projected. The company undertakes no obligation to update or revise publicly any forward-looking statements, whether as a result of new information, future events or other factors. As seen on Slide 2, our forward-looking statements also provide information on risk factors that could affect our financial results. It's now my pleasure to turn the discussion over to Alan.
Alan Wilson: Thank you, Joyce. Good morning, everyone and thanks for joining us. McCormick’s second quarter results demonstrate the effectiveness of our sales and profit growth strategies and continued the momentum that we established in the first quarter. While sales declined 1%, in constant currency we achieved a 5% year-on-year increase. We achieved higher constant currency sales in both our business segments and across geographic regions, a very good performance from our business leaders and employees throughout McCormick. Based on this broad-based growth and our outlook for the second half of 2015, we reaffirm our projection for 4% to 6% constant currency sales growth for the fiscal year. In fact, this year’s pace of acquisition activity gives us more confidence at the upper end of the range. Special charges along with currency lowered our operating income results. However we grew adjusted operating income in constant currency by 7%. This is an improvement from the first quarter when adjusted operating income in constant currency rose 1%. As we anticipated, profit growth is improving as our cost savings build and as additional pricing actions go into effect. This improvement supports our reaffirmed outlook for 6% to 7% adjusted operating income growth in 2015 on a constant currency basis. With a very favorable tax rate variance, second quarter earnings per share exceeded our expectations. Earnings per share this period was $0.65 and excluding special charges, grew to $0.75 from $0.64 in the year ago period. In addition to the favorable tax rate, other positive factors included the increase in adjusted operating income, further growth from our joint venture in Mexico and lower shares outstanding. The CPS result includes the impact of unfavorable currency. We’ve raised our latest earnings-per-share guidance to reflect the net impact of the favorable tax rate in the second quarter and our estimated tax rate for the second half. Aside from this tax adjustment, we feel just as confident in our base business EPS outlook. Cash flow from our operations remained strong in $186 million, supporting our dividend program along with business growth strategies including acquisitions. I want to recognize McCormick employees around the world for focusing on growth, driving high-performance and engaging in our success. Next, Lawrence is going to provide an update on each of our two business segments. Lawrence?
Lawrence Kurzius: Thank you, Alan, and good morning everyone. As Alan indicated we delivered constant currency sales growth for both our consumer and industrial businesses with particularly good performance in several markets this quarter. Let’s start with the consumer business. Across our entire consumer business, although we reported a sales decline of 3%, in constant currency we achieved a 3% increase. I will comment first on the strong results in certain international markets, then turn to the US market for more detailed remarks. China led our consumer business sales growth again this quarter with a double-digit increase in constant currency. We had strong demand for McCormick brand herbs and spices, condiments, and seasoning blends driven by our brand building activities, geographic expansion and great in-store execution. We also grew sales with the introduction of a McCormick brand product into Central China, part of our sale synergies from our Wuhan Asia-Pacific Condiments acquisition. In Europe, Middle East and Africa, EMEA, economic and retail conditions remained challenging in parts of the region. However in constant currency we had strong volume driven sales growth this period particularly in France, Poland and Russia. In France, we’re benefiting from our brand marketing and have expanded to grow brand sales through the discount retailer. Distribution gains were also a primary sales growth driver for our business in Poland and Russia. And in Australia, consumer sales in constant currency rose at a double-digit rate this period from new distribution and product innovation. Before moving to the Americas, let’s take a look at our lineup of new products for the second half in our EMEA and Asia-Pacific regions on Slide 7. One of our global initiatives is grilling. In EMEA we’re building out our barbecue products in the UK, France, Poland and other markets with dry seasonings and wet marinades and sauces. And in France, Belgium, Spain and Portugal recognizing the popularity of burgers we are introducing restaurant quality burger seasonings in wet and dry sachets. Our Airplane gelatin in Australia is an iconic brand with 90% category share and we’re continuing to grow sales with new flavor varieties. Also in this market we will be leveraging the authenticity of our [Keene’s] [ph] brand into curry recipe bases. Let’s turn to the Americas. In this region we’re making further progress improving the performance of our US consumer business. Consumer interest in flavor, simple and healthy ingredients and cooking with fresh products continues to drive strong category growth for spices and seasonings as seen in the latest consumption data with category sales up 5% in the quarter. The same data shows that sales of our McCormick brand spices and seasonings rose 1%. This is an improvement compared to a 1% decline in the past 52 weeks. We are definitely heading in the right direction. For recipe mixes, our next largest category we continued to gain share. In this latest quarter, the increase of 50 basis points marked the 20th consecutive month of share gain. We are achieving this through innovation as well as effective marketing for both new products and core items. Within the subsegment of Taco seasoning mixes, we increased share of our McCormick brand 3 percentage points in the last 52 weeks and our share of Chili seasoning mixes is up 4 percentage points. We grew share of Zatarain’s 5% this quarter versus the year ago period. Zatarain’s rice mixes are outpacing the category growth rate and consumption of our frozen entrées rose 4%. Across all of our US brands we are driving growth through accelerating innovation, building brand equity and through our category leadership at retail. On the innovation front, I will comment on two of our recent launches. I am pleased to report that in less than one year our McCormick Skillet Sauces have exceeded a 10% share in this growing category driven by the retail placement we’ve gained and our marketing support. The relaunch of our gourmet line began early in 2015 with greater variety of Flavor Sealed technology that locks in flavor, color and aroma and a packaging that has a more premium fresh appearance. In this subsegment of the spice and seasoning category nearly 80% of retail distribution points are now converted to the new packaging and we’ve seen base consumption trends for McCormick gourmet strengthened with consumption up 4% in the second quarter. This gourmet initiative has also helped us expand the number of McCormick brand SKUs on the shelf with existing customers, gain distribution of new customers and at other customers reduce the number of competitive brands they carry.
, : A second growth initiative in the US is building brand equity. We had particular success this quarter with our Grill Mates campaign, including excellent in-store display execution, great new television advertising and a 2015 grilling flavor forecast. Second quarter sales of Grill Mates grew 9% and we expect to maintain this momentum through the peak grilling season. Through digital marketing we’re connecting directly with consumers. We are moving up the list of go to places for online recipe. McCormick.com is now in the top 40 recipe destinations, up from 175th in 2012 with 30 million annual visitors and 40 million recipe views. We have the largest online grilling community and are connecting with passionate users of Old Bay, Zatarain’s and other distinctive brands. And behind the scene, we have better alignment of our digital assets not only in the US but all around the world. We continue to strengthen our retail partnership to drive category growth and engage consumers. On the last call Alan discussed the sharper focus on our retail price points and advanced analytic rigor around category management. As we rolled this out several retailers have begun to partner with us on self price adjustments and we’re very encouraged by the results for them and for McCormick. At the end of the third quarter, we will be ready to launch a new comprehensive category management tool supported by additional internal resources and we expect these capabilities to accelerate our progress as it relates to pricing optimization. As you would expect this is an account by account discussion. As the latest consumption data illustrated we have reduced the category share decline for our brand but we are not yet where we want to be. I believe we have the right actions and the right team in place to stabilize and then grow our share. In tandem with these actions, we’re driving growth for our recipe mixes as well as niche brands within our US portfolio such as Lawry’s, Old Bay, Grill Mates, Zatarain’s, Thai Kitchen and now Drogheria & Alimentari. Before I move to our industrial business, I just want to recognize the great performance of our joint venture in Mexico. Despite unfavorable currency rate, net income for this business rose 36% mainly due to sales growth and favorable costs. Turning now to our industrial business. We grew sales for this segment 1% and in constant currency a very strong 7%. This higher sales and our cost reduction initiatives led to a double digit increase in adjusted operating income in constant currency. EMEA led the growth this period with a double-digit constant currency sales increase and volume and product mix up 9%. This part of our business has had exceptional sales growth for the past three years as seen on Slide 11. As our business with quick service restaurant has been a challenge in other regions during this period, we're winning in the EMEA with product innovation and for the third year in a row were named new product supplier of the year in this region by a leading quick service restaurant customer. We also increased our share of business with quick service restaurants and are supporting the geographic expansion of those customers. Likewise we’re expanding into new markets along with food manufacturers we supply and as an example have broken ground on a new facility in the Middle East. In the Americas region we are benefiting from an increase in consumer snacking, developing seasonings for snack bars, crackers and chips and similar products. At the same time our customers are moving toward more simple ingredients and our foundation in spices and herbs has us well-positioned. In the second quarter we had particularly strong demand from these customers in Latin America with double digit sales growth in constant currency. We have a strong base in Mexico and are supporting customer expansion into South America. In Brazil we cut the ribbon on a small R&D center this quarter to build our expertise in the local flavours. We also grew year on year sales to food manufacturers in the US this period and had a solid performance with sales of branded food-service product. In addition we had the benefit of sales from Brand Aromatics acquired early in March. Offsetting a portion of these gains is further weakness in our US sales to quick service restaurants. In our Asia-Pacific region we are pleased to be seeing further recovery in base sales to quick service restaurants. As in the first quarter we had an added benefit of innovation and limited time offers and with export sales of product supplied by our facilities in China, our outlook is for continued improvement through the second half of 2015 for our industrial business in China. Thank you for your attention. I will turn it back over to Alan.
. : A second growth initiative in the US is building brand equity. We had particular success this quarter with our Grill Mates campaign, including excellent in-store display execution, great new television advertising and a 2015 grilling flavor forecast. Second quarter sales of Grill Mates grew 9% and we expect to maintain this momentum through the peak grilling season. Through digital marketing we’re connecting directly with consumers. We are moving up the list of go to places for online recipe. McCormick.com is now in the top 40 recipe destinations, up from 175th in 2012 with 30 million annual visitors and 40 million recipe views. We have the largest online grilling community and are connecting with passionate users of Old Bay, Zatarain’s and other distinctive brands. And behind the scene, we have better alignment of our digital assets not only in the US but all around the world. We continue to strengthen our retail partnership to drive category growth and engage consumers. On the last call Alan discussed the sharper focus on our retail price points and advanced analytic rigor around category management. As we rolled this out several retailers have begun to partner with us on self price adjustments and we’re very encouraged by the results for them and for McCormick. At the end of the third quarter, we will be ready to launch a new comprehensive category management tool supported by additional internal resources and we expect these capabilities to accelerate our progress as it relates to pricing optimization. As you would expect this is an account by account discussion. As the latest consumption data illustrated we have reduced the category share decline for our brand but we are not yet where we want to be. I believe we have the right actions and the right team in place to stabilize and then grow our share. In tandem with these actions, we’re driving growth for our recipe mixes as well as niche brands within our US portfolio such as Lawry’s, Old Bay, Grill Mates, Zatarain’s, Thai Kitchen and now Drogheria & Alimentari. Before I move to our industrial business, I just want to recognize the great performance of our joint venture in Mexico. Despite unfavorable currency rate, net income for this business rose 36% mainly due to sales growth and favorable costs. Turning now to our industrial business. We grew sales for this segment 1% and in constant currency a very strong 7%. This higher sales and our cost reduction initiatives led to a double digit increase in adjusted operating income in constant currency. EMEA led the growth this period with a double-digit constant currency sales increase and volume and product mix up 9%. This part of our business has had exceptional sales growth for the past three years as seen on Slide 11. As our business with quick service restaurant has been a challenge in other regions during this period, we're winning in the EMEA with product innovation and for the third year in a row were named new product supplier of the year in this region by a leading quick service restaurant customer. We also increased our share of business with quick service restaurants and are supporting the geographic expansion of those customers. Likewise we’re expanding into new markets along with food manufacturers we supply and as an example have broken ground on a new facility in the Middle East. In the Americas region we are benefiting from an increase in consumer snacking, developing seasonings for snack bars, crackers and chips and similar products. At the same time our customers are moving toward more simple ingredients and our foundation in spices and herbs has us well-positioned. In the second quarter we had particularly strong demand from these customers in Latin America with double digit sales growth in constant currency. We have a strong base in Mexico and are supporting customer expansion into South America. In Brazil we cut the ribbon on a small R&D center this quarter to build our expertise in the local flavours. We also grew year on year sales to food manufacturers in the US this period and had a solid performance with sales of branded food-service product. In addition we had the benefit of sales from Brand Aromatics acquired early in March. Offsetting a portion of these gains is further weakness in our US sales to quick service restaurants. In our Asia-Pacific region we are pleased to be seeing further recovery in base sales to quick service restaurants. As in the first quarter we had an added benefit of innovation and limited time offers and with export sales of product supplied by our facilities in China, our outlook is for continued improvement through the second half of 2015 for our industrial business in China. Thank you for your attention. I will turn it back over to Alan.
Alan Wilson: Thanks Lawrence. As Lawrence reported, we are driving solid performance across many parts of our business, demonstrating the effectiveness of our growth strategies and our strong execution. We are making steady progress with our initiatives and encouraged by 2015 results through the first half. Next, I’d like to provide a few updates from the time of our first-quarter earnings call back in late March, starting with acquisition activity. McCormick’s business development team is having a busy year with great results. Back in February, we announced an agreement to purchase Drogheria & Alimentari and completed this purchase at the end of May. In early March, we acquired Brand Aromatics. About a week ago, we signed an agreement to acquire One World Foods, seller of Stubb's, the number one brand of premium authentic barbecue sauce in the US. Stubb's products also include marinades, rubs and skillet sauces. Annual sales of this business are approximately $30 million that are growing at a double-digit rate. Stubb’s is a perfect complement to our products, rounding out our range of grilling items under the Grill Mates, Lawry’s and McCormick brands. Maintain the authenticity of this brand we plan to keep the business headquarters in Austin, Texas. We expect to maintain a double-digit pace of sales growth near-term through expanded distribution, increased household penetration and innovative flavours. We anticipate significant cost synergies that will deliver at least $10 million of incremental EBITDA by 2017. At an anticipated purchase price of $100 million we expect Stubb’s to be another attractive deal for McCormick. Along with our efforts to build sales through acquisitions and the innovation and brand marketing activity that Lawrence discussed, employees throughout the company are making great progress through their efforts to eliminate costs. We reaffirm our goal to achieve at least $85 million in cost savings this year. This will bring our cumulative annual cost savings to more than $400 million since our 2009 launch of McCormick’s comprehensive continuous improvement program, CCI. During the second quarter we announced additional reorganization plans in the EMEA region. These plans include the transfer of certain additional activities to the recently established McCormick shared services center in Poland. While we expect record charges of approximately $25 million related to these actions, there's a very good payback with estimated annual cost savings of $16 million by the end of 2017. We recently increased our resources to drive our CCI program and expect to continue our track record of productivity improvement throughout the organization. Let’s turn to some recent leadership changes. As announced in early June, we are pleased to have Maritza Montiel and Michael Conway joining our board. Maritza is former deputy CEO and Vice Chairman of Deloitte. During her 40 years with the firm she led a variety of strategic initiatives prior to retiring in mid 2014. Michael was president of Global Channel Development for Starbucks. His responsibility for all commercial and business strategy functions and is driving aggressive plans to expand to emerging international markets. Prior to Starbucks, Michael served in leadership roles at Johnson & Johnson and Campbell Soup. Retiring from our board is JP Bilbrey, Chairman President and CEO of Hershey. He served as a director since 2005 and we truly appreciate his participation and contributions to our success. Turning to our company leaders. Cile Perich, Senior VP of Human Resources retired from McCormick after 32 years of exemplary service and seven years as a member of our management committee. On Slide 17 we have listed the current members of the management committee which now include Lisa Manzone who’s promoted to Cile’s role and also Brendan Foley who joined us from Heinz about a year ago and whose responsibilities have been broadened from head of US consumer business to a North American role. We also announced in April that Nneka Rimmer has joined the company. Most recently with Boston Consulting Group Nneka is responsible for shaping overall corporate strategies and working to increase EVA at McCormick. I'm confident that these latest changes will provide strong leadership for our business going forward. The last topic I want to cover before turning it over to Gordon relates to the helpfulness of spices and herbs. Since its formation in 2007, The McCormick Science Institute, MSI, has supported scientific research and dissemination of information on the health benefits of culinary herbs and spices. In 2014, MSI in partnership with The American Society for Nutrition hosted a summit of researchers, government officials and health and wellness communicators to discuss the role of herbs and spices in a healthy diet. This message is beginning to resonate. In May, we were pleased to learn that the US Dietary Guidelines Advisory Committee has recommended to the government that the 2015 dietary guidelines encourage use of spices and herbs as a flavor alternative to sodium. We’re optimistic that this change will be made. In addition, Australia's Healthy Eating Pyramid was recently updated and now encourages people to enjoy herbs and spices to flavor food without using salt. We regard our categories as advantaged on-trend with spicy foods, fresh foods, ethnic cuisine, simple ingredient. This latest health news is just one more reason for consumers to turn to spices and herbs to add flavour. It’s now my pleasure to turn it over to Gordon for a financial perspective on our results and guidance.
Gordon Stetz: Thanks, Alan and good morning everyone. As both Alan and Lawrence indicated, we were pleased with our sales and profit results in the second quarter across our two segments and in both developed and emerging markets. On a constant currency basis, the underlying growth in sales was very strong at 5%. Our adjusted operating income excludes special charges and rose 1% but if we also exclude currency, we achieved 7% growth, a sequential improvement from the first quarter results. Taking a look at our consumer business, Slide 21 shows that we grew second-quarter consumer business sales 3% in constant currency driven by higher volume and product mix. Sales in the Americas rose 2% in constant currency from the second quarter of 2014 with contributions from higher volume and product mix as well as pricing actions mainly related to honey products in Canada. As Lawrence described, we grew US sales of recipe mixes, Grill Mates and Zatarain’s products. While still a small part of our business, sales in Latin America grew at a double-digit rate this period as we expand distribution across a number of markets from our production base in El Salvador. In EMEA, consumer business sales in constant currency grew 4% as a result of higher volume and product mix. Distribution gains were major reason for the increase with wins in France, Poland and Russia. Our brand marketing and innovation are additional factors driving sales and we look forward to including sales of Drogheria & Alimentari in our results starting in the third quarter. In constant currency, we grew consumer business sales in the Asia-Pacific region 7% with a 9% increase in volume and product mix. Our sales in China continued to grow at a double-digit rate year on year. And Australia also delivered a double-digit increase for the second quarter. We had some further pressure from basmati rice prices in India leading to lower pricing for the region this period. In total for the consumer business, adjusted operating income was $81 million compared to $86 million in the second quarter of 2014. In constant currency, adjusted operating income was comparable to the year ago period with the impact of sales growth and cost savings offset by the unfavorable impact of material costs, retirement benefit expense and product mix. Also in the second quarter, we recorded about $1 million of transaction costs related to the acquisitions we’ve announced in 2015. Turning to our industrial business. We grew second-quarter sales a robust 7% in constant currency from the year ago period. Pricing actions taken in response to higher material costs and higher volume and product mix, each added three percentage points and acquisitions another one percentage point of growth. In the Americas region, sales rose 5% in constant currency mainly from pricing actions and the addition of Brand Aromatics. Volume and product mix were comparable to the year ago period as increased sales of snack seasonings, particularly in Latin America, and higher sales of branded food service products were offset by continued weakness in sales to quick service restaurant customers. In our EMEA industrial business, we grew sales 12% in constant currency with a 9% increase in volume and product mix. As Lawrence described, we are in our third year of exceptional performance in this part of our business as we support the growth and geographic expansion of leading quick service restaurants and food manufacturers. We grew industrial business sales in the Asia-Pacific region 4% in constant currency. In China, we grew through innovation and export and the recovery continued from 2014 challenges with lower demand from major quick service restaurants. Adjusted operating income for the industrial business was $42 million, well ahead of $36 million in the second quarter of 2014. In constant currency, the growth was even more impressive at 24% with the benefit of higher sales and our CCI program more than offsetting the unfavorable impact of material costs and retirement benefit expense. Let’s turn to Slide 31. Across both segments, adjusted operating income was $123 million, a 1% increase from $122 million in the second quarter of 2014. In constant currency, we grew adjusted operating income 7%. This is an improvement from the first quarter as increased cost reductions and additional pricing actions are providing a greater offset to material cost inflation. These same positive factors are impacting gross profit margin. While we were down 50 basis points year on year in the second quarter, this was a better performance than the first quarter. Heaving into the second half, we expect our cost reduction and pricing activity to continue to improve gross profit margin. However we now expect gross profit margin for the fiscal year to be comparable to 2014 rather than up slightly. As a percentage of net sales, our selling, general and administrative expense declined 60 basis points even with the impact of transaction costs related to our 2015 acquisition activity. Special charges of $19 million in the second quarter related primarily to the additional actions planned in EMEA that we announced in April. Below the operating income line, our effective tax rate was 16% which was below our initial guidance and year ago quarter due to $13 million of discrete tax benefit recognized in the second quarter of 2015. Based on our current outlook, including these benefits and our projected mix of our business across tax jurisdictions, our estimated effective tax rate for fiscal year 2015 is approximately 27% compared to our prior guidance of 27% to 28%. This is based on an underlying rate of approximately 29%. Keep in mind that in the absence of any further discrete items, we expect an unfavorable variance in the next two quarters with a tax rate of 29% versus 21.4% in the third quarter of 2014 and 25.9% in the fourth quarter of 2014. Income from unconsolidated operations rose 19% led by our joint venture in Mexico which continues to have a strong financial performance as Lawrence described. This increase is net of an unfavorable currency impact. At the bottom line, adjusted earnings per share for the second quarter of 2015 was $0.75. As you can see on Slide 34, this was an $0.11 year-on-year increase led by the lower tax rate along with increases in our adjusted operating income, unconsolidated income and lower shares outstanding. Turning next to Slide 35. We’ve summarized highlights for cash flow and the quarter end balance sheet. Our cash flow from operations this period was $186 million compared to $182 million in the first half of 2014. During the first half of 2015, we used $70 million of cash to acquire nearly 1 million shares of McCormick stock occurring mostly in the first quarter. Given our activity to date we continue to anticipate a 1% reduction in shares in 2015. At quarter end we had $46 million remaining on our $400 million authorization. The Board approved a new $600 million share repurchase authorization in March. During the second quarter, we used a combination of cash and short-term borrowings to acquire Brand Aromatics for $63 million and make the initial payment of $49 million to acquire Drogheria & Alimentari. Likewise we expect to use a combination of cash and short-term borrowings for the acquisition of Stubb’s later this quarter. Consistent with past practice, we have curtailed our share repurchase activity in order to return to our target debt to adjusted EBITDA level of 1.5 to 1.8. Our balance sheet remains sound. We are generating strong cash flow and we believe we are well-positioned to fund investments to drive growth, including future acquisitions. I will wrap up with our latest financial outlook for fiscal year 2015. We reaffirm our expectation to grow sales 4% to 6% in constant currency. The three acquisitions we have announced should add at least 1% of growth this year, giving us greater confidence in achieving the upper end of our range. We continue to estimate that currency will reduce our sales growth rate by 5 percentage points in 2015. We reaffirm our expected 6% to 7% constant currency growth for adjusted operating income from a 2014 base of $608 million in adjusted operating income. We continue to anticipate unfavorable currency rates to reduce operating income growth by 3 percentage points. For operating income on a reported basis, we expect a 4% to 5% decline from $603 million in 2014. This includes a $54 million estimated impact from special charges. We expect adjusted earnings-per-share of $3.47 to $3.54. This is a $0.03 increase from the previous guidance, reflecting the latest tax rate estimate. This new range, excluding an estimated $0.12headwind from currency is an increase of 7% to 9% from $3.37 in 2014. On a reported basis, we expect earnings-per-share of $3.18 to $3.25 compared to earnings-per-share of $3.34 in 2014. This range assumes a $0.29 impact from special charges. As you consider the financial projection for the second half versus the year ago period, keep in mind the projected headwinds from a higher tax rate, unfavorable currency and our plans to increase brand marketing. These factors are expected to cause a double-digit decline in third-quarter adjusted earnings-per-share compared to adjusted earnings per share of $0.95 in the third quarter of 2014. However our projection is to increase fourth quarter adjusted earnings-per-share from adjusted earnings-per-share of $1.16 in the fourth quarter of 2014. For fiscal year 2015, we continue to expect another year of strong cash flow. This will provide funding for our dividend, our acquisition activity, some debt paydown and future share repurchase activity. Let’s turn now to your questions, then some closing remarks from Alan. Operator, we are ready for the first question.
Operator: [Operator Instructions] Our first question is coming from the line of Ken Goldman with JPMorgan.
Ken Goldman : The shift to e-commerce in China, it’s hurt a lot of consumer companies lately. McCormick seems to be bucking the trend. Just curious the spice and seasoning category, is it not being hit by the channel shift as much as others or is McCormick benefiting from that channel shift? I'm just curious for your thoughts here because it does seem to be a little bit of an anomaly versus what we're seeing elsewhere.
Lawrence Kurzius: Hi Ken, this is Lawrence. I will take this question if you don’t mind. We do participate in the e-commerce sector in China but I'll tell you for us it’s still developing segment of the market, or developing channel just like it is for everyone else. The big difference I think in our business in China for our consumer segment is that we’re a lot less dependent on the modern trade than many of our peer companies. With the acquisition of Wuhan Asia-Pacific Condiments, we got a strong foothold in the central part of China, great penetration in the more traditional segment of the market and we’re experiencing really broad-based growth on both our McCormick brand and on our acquired brands across China. We recognize that there has been some slowdown in economic growth in China but our categories continue to do well and our brands in particular had really broad-based growth in this quarter, and we don't really see any change in that trend.
Ken Goldman : Thank you. And then one follow-up. In general you're looking for a nice improvement in the gross margin as the year progresses at least on a year-on-year basis. I just want to make sure I understand if we had to sort of rank order the factors that are going to help that margin, how much might we attribute to currency versus pricing, just want a little bit more color if possible on what some of those factors might be?
Gordon Stetz: We're looking for sequential improvements in the gross profit margin and it's going to be a combination of CCI, which will be obviously continuing to progress as we go through the year, the pricing actions primarily on the industrial side of the business which as you know those pricing mechanisms get readjusted periodically based on the commodity basket. So those will continue to readjust periodically throughout the year, and then obviously our fourth quarter tends to be more heavily weighted to our consumer business so you'll get some benefit of business mix as we approach the fourth quarter.
Operator: The next question is coming from the line of Alexia Howard with Sanford Bernstein.
Alexia Howard : Can I ask about the trends in operating profit growth on the consumer side? It’s been pretty flat for the business as a whole in the last couple of quarters on a constant currency basis. Are you expecting an improvement going forward and what are the puts and takes there and particularly I don't know what you can say about the consumer Americas business but how has that been moving and how is it expected to shape up for the rest of the year? Thank you.
Gordon Stetz: Hi Alexia, it’s Gordon. Again what we’re expecting the raw material cost pressures as we mentioned in the conference call has been a factor primarily well across both businesses. The consumer business savings are starting to ramp up as we progress through the year. So those benefits we anticipate to be more heavily weighted to the back half of the year. The operating margins are also being impacted by our brand marketing expenses. So as we mentioned in the call we do have some increase in our brand marketing expenses. Some of this is going to be particularly weighted to Q3 and then finally we’re looking just for the continued consistency of growth and volume to leverage our scale. So again by the fourth quarter anticipating -- our guidance anticipates a good fourth quarter for our consumer business, particularly in the US consumer business. So with the combination of CCI, scale and the timing of our brand marketing we expect good margin performance by the fourth quarter.
Alexia Howard : And just as a quick follow-up. In the US consumer business do you expect the price realization to improve through the course of the second half? Would you expect to get a little bit more of a benefit from year-on-year pricing being a little bit more stable than it has been in the past? Thank you.
Gordon Stetz: We really haven't taken any pricing in the US consumer business there but we do expect a different mix as we’re selling more branded items and less of the value item.
Operator: Our next question comes from the line of David Driscoll with Citigroup.
David Driscoll : Wanted just to ask your impressions of the US spices and seasoning category and the market share trends over the course of time. You guys mentioned this in your script but could you just spend a little bit more time on the share declines here and what should we expect going forward? Is this a multi-year trend where you'll just progress very slowly to try to getting the share declines to stop to get back to neutral? I'm just trying to get your sensitivity on when you see these kinds of share declines how the business wants to respond to it, how significant they are to you. You got top line growth but share declines are always something that we look at quite closely and I'm trying to get a sensitivity here on your concern level on this and then how it should progress forward?
Alan Wilson: We are obviously very focused on stabilizing and growing share. Our intention is to actually be the driver of growth in our categories. We are seeing share improvement and have for 20 consecutive months in our recipe mixes. We're seeing it in some of our other brands like Zatarain's where we're seeing share improvement and we're seeing share improvement in some of our other markets. So our core focus is on the US consumer business where the core spices and seasonings represent a little less than 15% of our total company sales. So I want to keep it in perspective but we are very focused on regaining and driving share in those core items. We think the things that we're doing like working on the pricing of the high price sensitive items at retail is a good mix. We're helping our retailers in understanding the importance in the profitability of the category and that McCormick drives that profitability. So we feel like we're doing a lot of the right things but it is going to take some time.
Lawrence Kurzius: Yes, David, this is Lawrence, if I can just add to those comments. We’ve really been out in front of CAGNY in 2014 where really we were stepped up and said that we had lost some share in both of our core growth platforms in the US to some smaller competitors and put in place some initiatives to tackle that. I think we did a lot of the heavy lifting last year and we are really actually pleased with our sales progress in both the first quarter and the second quarter of this year. We are not gaining share yet in spices and seasonings. We are in recipe mixes and really have turned that around quite strongly, and in portions of our spices and seasonings business, we are seeing some great progress. Our gourmet relaunch, which is a part of turning around our spices and seasonings category growth is generating great early results. We are really winning the grilling season this year and we are confident that we will do more than just stabilize our share in this segment but that will return to share growth and will be driver of the category in the US. We won’t be satisfied with our results ourselves until we do.
David Driscoll : Is it still a price gap issue or do you think you have that under control?
Lawrence Kurzius: I think that we thought about our pricing and really our thinking on pricing has evolved as our understanding of this issue has matured with the greater analytics capability. So when we spoke about this at CAGNY in 2014 our focus was on price gaps versus private libel and versus key competitors and having conversations with retailers about those price gaps with the aim of narrowing them either by reducing the prices on McCormick or frankly by raising the price on some competitive items that were irrationally priced, in some cases below the retailers private label. But as we've gone through 2014 and we’ve developed greater understanding of the pricing dynamics we came to realize that the price gaps actually mattered less than the absolute price points on about a dozen key items. So our initiative this year has been focused more on managing the absolute price points on those key items and it does not involve additional pricing action or promotional activity on our part. It's really at the way we allocate the promotional spending that we're already doing with the customers to direct it to the most productive place. And then finally I think in my prepared remarks I mentioned a comprehensive category management tool and this is really the next step in our evolution on this to have an even stronger analytic capability that allows us to understand and model the cross-elasticity of the entire category to optimize it for the retailer.
Operator: Our next question is coming from the line of Akshay Jagdale with KeyBanc.
Akshay Jagdale : One quick one just in terms of your guidance for this year, how much of the M&A related charges are included in your constant currency EBITDA or operating in some guidance?
Gordon Stetz: We mentioned about $1 million related to the consumer acquisitions that is already absorbed in those guidance numbers.
Akshay Jagdale : And just can you talk a little bit more broadly about the consumer environment? There has been some talk about lower gas prices helping consumer spending. We really haven't seen it on broad data that we look at but how would you characterize the health of the consumer here in the US and maybe talk a little bit about China because all the indicators that we’re seeing point to a little bit of slowdown there but your business is actually doing quite well. So can you talk about those two topics broadly? Thanks.
Alan Wilson: Sure. We are still seeing a bifurcated consumer with some level of growth in premium and our gourmet brand is an example of that and niche categories. So there is some growth. We are seeing some recovery in food service with people eating out. So we are seeing some of those lower gas prices find their way in. On the other hand, there is a vast number of consumers who are still stressed economically and so we are competing in the value segment to try capture that. In China, as Lawrence said, there has been some slowdown in economic activity. We’re encouraged because we’re still – we’re pretty broad-based, we’re in the traditional trade, we have our presence in the modern trade and we’re participating in the emerging and fast-growing e-commerce. But we're still long-term believers in China. We continue to make investments there and are bullish on our prospects.
Operator: Our next question is from the line of Jonathan Feeney with Athlos Research.
Jonathan Feeney : Thanks. I just wanted to understand a little bit about -- seems like particularly as it relates to EMEA you've come back a few times with some business reviews around these restructuring charges and I guess it seems to me like maybe you're just trying to get your hands around new cost opportunities that kind of make sense in a changing context whether that's currency or some of the effects currency might have on the market. Could you tell me about that process a little bit because you've come up with some new charges a couple times now, I guess in the past six months sort of seen more opportunities to take special charges restructurings and maybe where we stand -- should we expect more of that in the second half of the year, more opportunity to do that? Thanks. Any perspective on that would be great.
Gordon Stetz: Yes, I'll really point to -- and this is specific to Europe. It's a continuation of the journey of shared service structures and leveraging scale where we have opportunities to do that. You mentioned a couple of charges, the first charge was primarily our first truly shared service opportunity which we went to Poland with and it was focused primarily in the financial end of things. The current activities are again related to an extension potentially of other activities into those, into the same shared service center. So it's broadening shared service. It's the same journey we've gone on here in the US. The North American initiative that we took more recently was again more of an extension of shared service activity into our North American shared service and also in both cases it's looking at span of control, faster decision-making and how we can delayer decision-making to be more responsive in a very, very competitive market. We do these things very very analytically and thoughtfully. To say that we would never do anything again would be probably a misstatement but at the same time we have to execute what we've already discussed and as a result, we need to get done the charges that we already announced this year and execute against those programs.
Operator: And next question is from the line of Robert Moskow with Credit Suisse.
Robert Moskow : On gross margin erosion, I guess, it's kind of hard to see how all this trade activity and pricing actions, why is that not helping you get your gross margin up, like why is the gross margin continuing to erode a little bit? It doesn't appear to be hurting the year but I would have thought by the end of the year maybe do you expect to be back on track in track in terms of boosting gross margin?
Gordon Stetz: We expect gross margin -- as we talked about the impact of raw material costs this year, we said it would hurt us earlier in the year. We're forecasting mid single digit material cost inflation and the CCI -- that was hitting us right away in the beginning part of the year. The CCI was going to take some time for us to help offset that. So our expectation is as we progress through the year, gross margin will have a sequential improvement such that by year-end we should see gross margin improvement year on year. So we've got improvement in Q2 versus Q3. We anticipate further sequential -- I'm sorry Q2 versus Q1, we expect further improvement in Q3 versus Q2 and then again, improvement in the fourth quarter. So it's a function of the timing of raw material costs and the timing of our CCI.
Robert Moskow : Gordon, like what’s the factor that caused you to have to lower the guidance for the year? What fell below expectations in the first half?
Gordon Stetz: The price realization is the same and CCI savings is the same. It’s a tweak on the business mix candidly and the offset was obviously in the favorability of the SG&A. But there's -- we were up slightly, now we are comparable. It’s not what I would call a major change to our full year guidance. But the terms of the fundamentals of how we see this playing out that has not changed.
Robert Moskow : Secondly, on the acquisition of Stubb’s, is that providing any contribution to operating profit for the year?
Gordon Stetz: It's pretty neutral based on acquisition integration costs and the transaction costs that we've already mentioned.
Robert Moskow : Okay, and then lastly, one of your biggest or I guess your biggest customer had been very promotional on its private label side. Has that eased off at all and has that allowed you to compete or to perform better at that retailer?
Lawrence Kurzius: Hey Rob, this is Lawrence. I think what you are referring to is actually not private label but it’s a controlled brand that is a McCormick brand that we sell them. They’ve had a big – that’s had a pretty big impact on us in the first part of the year but we do see as they lap the activity that started really last year, that is backing off considerably.
Robert Moskow : Does that mean that it's kind of continuing at a steady state or is it—
Alan Wilson: Actually the ACV, the large displays is about half its level of the peak. So we're still going to see some year-on-year comparison but it is greatly reduced from its peak.
Lawrence Kurzius: Right. It's not steady state.
Operator: The next question is from the line of Eric Katzman with Deutsche Bank
Eric Katzman : I guess two questions. On China industrial is limited time offers that helped you in the first quarter, did those roll off in the second as you had expected and is that business kind of on track or on plan with what you had thought? And then a bigger picture question for Alan. The company has gotten more aggressive with M&A this year, three deals and the latest one Stubb’s in barbecue, I think the company’s challenge in M&A has been potentially some kind of conflict with industrial customers who may be in the same business. Are you concerned about all of that, any of that or is there still enough runway based on the M&A you see to not have any conflicts arise within your industrial customers?
Alan Wilson: Let me take the industrial question first or the acquisition questions first and I'll have Lawrence talk about China industrial. We always analyze for deals what the competitive overlap is going to be. We know that we need to be in parts of the categories that are growing faster and we see opportunities for this in this case and in the case of barbecue sauces, we saw very little competitive overlap and we saw the opportunity for us to really participate in more of the premium and higher priced part of the category that's growing. And so it's a brand that has no high fructose corn syrup and has carved out a very nice free firm all of the stuff that consumers don't seem to want right now. So that one fits very well for us and we see some other opportunities like that that don't impact or overlap with our critical customers. So we've expanded our horizons in terms of the kinds of acquisitions that we're considering. And I'll have Lawrence talk about China industrial.
Lawrence Kurzius: Eric, on our China industrial business, the growth that we are experiencing there partly reflects a recovery of the quick service restaurants and partly reflects gain in share that we’ve achieved with those same customers. So while the limited time offers are important, there is a steady stream of innovation that these customers are doing, that cycles through our business continuously. I’d say the key underlying trend this year has been a recovery in the quick service restaurant themselves and a gain in our share with those customers. End of Q&A
Joyce Brooks: I think what we ought to do, since we are coming up on the hour is, I’d like to turn it over to Alan for closing remarks and we will welcome any further questions. We will take those off-line.
Alan Wilson: Sure. Great, thanks for all your questions and participating in the call today. Consumer demand for flavour is rising and driving demand for our products. Our geographic presence and product portfolio are expanding and in line with the move towards healthier eating, fresh ingredients, ethnic cuisine and bold taste. And we’re driving growth through innovation, marketing and acquisitions. In 2015, we are seeing the benefits of our stepped-up cost reduction activity and we’ll continue to pursue ways to improve our productivity and profit as we grow the topline. We look forward to reporting you on our continued progress in the upcoming quarters and we hope everybody goes out and grills on the 4th July weekend. Have a great weekend.
Joyce Brooks: Thanks, Alan. Thanks everyone for joining us today. For any additional question, please give us a call at 410-771-7244. That concludes this morning’s call.